Operator: Ladies and gentlemen, thank you for standing by for Autohome's Fourth Quarter and Full Year 2025 Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. [Operator Instructions] If you have any objections, you may disconnect at this time. A live and archived webcast of this earnings conference call will be available on Autohome's IR website. It is now my pleasure to introduce your host, Sterling Song, Autohome's IR Director. Mr. Song, please go ahead.
Sterling Song: [Interpreted] Thank you, operator. Hello, everyone, and welcome to Autohome's Fourth Quarter and Full Year 2025 Earnings Conference Call. Earlier today, Autohome distributed its earnings release, which can be found on the company's IR website at ir.autohome.com.cn. Joining me on today's call is our Chief Financial Officer, Ms. Craig Yan Zeng. Management will go through the prepared remarks first, which will be followed by a Q&A session where they will be available to answer your questions. Before we continue, please note that the discussion today will contain forward-looking statements made under the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from our current expectations. Potential risks and uncertainties include, but are not limited to, those outlined in our public filings with the U.S. Securities and Exchange Commission and the Hong Kong Stock Exchange. Autohome doesn't undertake any obligation to update any forward-looking statements, except as required under applicable laws. Please also note that Autohome's earnings press release and this conference call include discussions of certain unaudited non-GAAP financial measures. A reconciliation of non-GAAP measures to the most directly comparable GAAP measures can be found in our earnings release. I will now turn the call over to Autohome's Chief Financial Officer, Mr. Craig Yan Zeng, for opening remarks. Craig, please go ahead.
Yan Zeng: [Interpreted] Thank you, Sterling. Hello, everyone. This is Craig Zeng. Thank you for joining our earnings conference call today. 2025 was a pivotal year in our evolution, transforming from an automotive information platform into an automotive service ecosystem. Facing a dynamic industry landscape, our focus was on driving 2 core initiatives. On the content front, we continue to strengthen the development of high-quality content while enhancing our creator ecosystem and expanding new media distribution capabilities. On the service front, we accelerated the development of fully integrated online to offline services to create a more efficient and convenient end-to-end automotive service ecosystem for users and industry partners. Throughout this transformation, we are using AI as a core engine to drive product innovation and optimize operations and have already achieved substantial progress across multiple business areas. On the user side, by continuously optimizing and iterating our platform tools, we've effectively reduced decision-making costs and significantly enhanced the overall user experience. Taking new energy vehicles as an example, we've launched features such as optional configuration selection and vehicle comparison list further enriching the car selection tool set to help users make faster purchasing decisions. Moreover, by building a traffic alliance and expanding service categories, Autohome now covers a broader range of user scenarios, enabling us to better meet diverse user needs. Our O2O integration initiatives are key to reshaping the automotive consumption process. Throughout 2025, we organized over 5,000 offline automotive exhibition and group purchase events nationwide and collaborated across industries with user-oriented culture IPs such as esports and music festivals. These efforts went beyond the traditional car purchasing model by reaching a broader consumer base and ultimately integrating car-viewing, selection, test-driving and repurchasing and purchasing into an immersive experience. Specifically, within the development of our transaction service ecosystem, we launched the Autohome Mall in the second half of last year, providing users with a smoother digital car purchasing experience. Currently, this business, though still in its initial phase has achieved stable operations and is demonstrating positive momentum, which make us even more confident in the growth prospects of our transactions segment in the coming year. Behind every product and service upgrade, integration and real-world deployment is a strong foundation powered by data and AI technology. In 2025, we introduced our proprietary Cangjie Large Language Model and Tianshu Intelligence Service Platform, integrating Autohome's 2 decades of industry data and service experience with cutting-edge algorithms. This integration helps our ecosystem partners accelerate their smart transformation. Meanwhile, Autohome's full product portfolio has been comprehensively upgraded with AI-powered capabilities from AI smart assistant that supports users throughout the entire car selection and purchase process to AIGC technology that generates and distributes marketing content across platforms and further to AI-driven intelligent advertising placement covering the entire advertising chain and more. So we are advancing Autohome's shift from a traffic gateway into an intelligent engine that improves efficiency across the entire ecosystem. Specifically, over the past year, we continue to make progress in our content ecosystem, strengthening our professional influence and expanding our reach across new media channels. For instance, during the Guangzhou Auto Show last November, we integrated our event coverage with a creator conference centered on the theme of utility-driven coverage. We produced a marathon live stream spanning 2 days and 23 hours. Content was closely tied to real-world user scenarios and the results were distributed simultaneously across 6 major new media platforms, achieving a multidimensional scenario-based content broadcast. In addition, in the fourth quarter, we launched Autohome Wanxiang, a comprehensive one-stop content marketing platform for the automotive industry by building creator matrix centered on 5 key pillars: industry experts, technology, racing, outdoor lifestyle and global markets. We provide automakers with a one-stop automotive content service covering articles, videos, live streaming and more. This allows us to meet the diverse and various marketing needs of automakers. As of the end of 2025, the platform has attracted over 2,500 premier creators from Autohome and various new media channels. At the same time, we achieved significant results in building our MCN system. Autohome Media MCN now covers over 500 high-quality KOLs and KOCs across diverse fields, and our new media platforms have cumulatively reached over 100 million users. According to QuestMobile, Autohome's average mobile DAUs in December 2025 were 77.51 million, remaining stable year-over-year. In the new energy vehicle sector, following a successful pilot in late September 2025, Autohome Mall was officially launched in the fourth quarter, continuously advancing our transaction service upgrade, unlocking resources across the industry chain to expand vehicle offerings and optimize the car purchasing experience for users. Offline, we are focused on low-tier cities by establishing a franchise network, filling gaps in OEMs channel coverage. Autohome Mall's one-stop shopping trading and service ecosystem is still in the exploratory and refinement phase has already secured partners with 23 mainstream automotive brands. Looking ahead, we will continue to refine the automotive transaction ecosystem and work with partners across the entire industry value chain to advance the automotive industry's digital and online transformation. For the full year 2025, Autohome's NEV-related revenues, including the new retail business maintained steady growth, increasing by 30.2% year-over-year. On digitalization, we completed a series of AI-driven upgrades to our products in 2025. Early in the year, the Autohome launched an AI-powered intelligent assistant built on DeepSeek and Autohome's proprietary data, significantly enhancing the Q&A experience in the automotive vertical. In April, we introduced an intelligent used car purchasing assistant that addresses pain points in transaction matching and the purchase decision-making for nonstandard used cars. As a result, we now have achieved full AI assistant coverage across both new car and user scenarios, maintaining industry-leading quality response rates for user Q&A. For partners, we used our unique data resources and industry analytics models to upgrade our digital product line across the entire value chain from marketing outreach to potential customer acquisition to sales conversion and to aftersales services. This has enabled end-to-end efficiency improvements across the process for our clients. To date, we have served over 50 automotive brands. In our Used Car business, we continue to advance the development of a standardized service system. For vehicle pricing, our AI Vehicle Inspector has been successfully deployed across multiple third-party platforms. It allows users to obtain registration services through various inputs, including license plate images and vehicle registrations, while also providing in-depth and analysis of marketing pricing trends. Its pricing accuracy and the user adoption rate both rank among the highest in the industry. On the vehicle supply side, we partnered with 9 authoritative inspection agencies to establish the Vehicle Certification Alliance. Over the year, we completed standardized inspections for more than 500,000 vehicles, offering professional and reliable quality assurance for transactions on our platform and effectively reducing trust-related costs during the transaction process. Overall, in 2025, we remain committed to a user-centric approach, continuously improving the user experience through rich diverse and high-quality content as well as intelligent tools. We also achieved key breakthroughs in the practical application of AI and in building an integrated online to offline transaction ecosystem. Moving forward, we remain committed to improving the user experience, continuously enhancing our service and transaction ecosystem and driving the high-quality and sustainable development of Autohome. With that, let me briefly walk you through the key financials for the fourth quarter and the full year of 2025. Please note that I will reference RMB only in my discussion today, unless otherwise stated. Net revenues for the fourth quarter were RMB 1.46 billion. To break it down further, media services revenues were RMB 334 million. Lead generation services revenue were RMB 68 million. And online marketplace and others revenues contributed RMB 408 million. Cost of revenues in the fourth quarter was RMB 319 million compared to RMB 428 million in the fourth quarter of 2024. Gross margin in the fourth quarter was 78.2% compared to 76% in the same period of 2024. Turning to operating expenses. Sales and marketing expenses in the fourth quarter were RMB 739 million compared to RMB 718 million in the fourth quarter of 2024. Product and development expenses were RMB 258 million compared to RMB 328 million in the same period of 2024. General and administrative expenses were RMB 115 million compared to RMB 131 million during the same period of 2024. Overall, we delivered an operating profit of RMB 92 million in the fourth quarter compared to RMB 232 million for the same period of 2024. Adjusted net income attributable to Autohome was RMB 304 million in the first quarter compared to RMB 487 million in the corresponding period of 2024. Non-GAAP basic and diluted earnings per share in the fourth quarter were both RMB 0.65 compared to RMB 1 for both in the corresponding period of 2024. Non-GAAP basic and diluted earnings per ADS in the fourth quarter were RMB 2.60 and RMB 2.59, respectively, compared to RMB 4.02 and RMB 3.99 respectively, in the corresponding period of 2024. Next, I will briefly summarize our full year 2025 results. Total revenues were RMB 6.45 billion, of which media services revenues were RMB 1.15 billion, lead generation services revenues were RMB 2.71 billion and online marketplace and others revenues were RMB 2.59 billion, representing an increase of 8.8% year-over-year. In addition, we delivered an adjusted net income attributable to Autohome of RMB 1.61 billion with an adjusted net margin of 24.9%. As of December 31, 2025, our balance sheet remains robust. Cash, cash equivalents, short-term investments and long-term financial products totaled RMB 21.36 billion. We generated net operating cash flow of RMB 0.89 billion in 2025. On September 4, 2024, our Board of Directors authorized a share repurchase program under which we are committed to repurchase up to USD 200 million of Autohome's ADS for a period not to exceed 12 months thereafter. On August 14, 2025, the Board approved an extension of the program through December 31, 2025. Under this program, we have repurchased approximately 7.12 million ADS for a total cost of approximately USD 185 million. I'm also pleased to announce that on March 5, 2026, our Board of Directors authorized a new share repurchase program under which we may repurchase up to USD 200 million of Autohome's ADS over the next 18 months. This reflects our strong confidence in our business prospects and the long-term development as well as our consistent commitment to continuously creating and delivering value to our shareholders. So that concludes our financial summary. We are now ready to open up the Q&A session. Operator, please open the line for the Q&A.
Operator: [Operator Instructions] Our first question comes from the line of Thomas Chong of Jefferies.
Thomas Chong: [Interpreted] My first question is about can management provide more color about your thoughts about the auto industry outlook? My second question is about capital return. We know there are updates on buyback, how should we think about the dividends?
Sterling Song: [Interpreted] First, let me share with you some recent market developments and future trends. First, we believe the total vehicle sales in 2026 is expected to increase slightly or modestly with the overall industry profitability still remain under pressure. On the policy side, the purchase tax incentives for NEVs are gradually being phased out. And at the same time, the few new subsidy policy has shifted from a fixed subsidy to a variable subsidy. On the market side, both the China Passenger Car Association, that is CPCA and the China Association of Automobile Manufacturers, CAAM, both of them projected that this year, China's total auto sales will only increase slightly by 1% year-over-year, which is the lowest in the past few years. So we believe the competition in the auto market will shift from the price war to value war. And meanwhile, overall, in the auto sector profitability still remains under pressure. And the profit margin last year for the auto sector is only 4.1%, down from 4.3% compared with the previous year. And so the overall sector is entered into a year of very low profit. So next step, we believe the technological innovation and intelligentization should be the key themes for the competition for auto sector in the next stage. So for ourselves, for Autohome, we believe this represents a rare opportunity to leverage our integrated O2O business model to connect the entire vehicle purchasing life cycle for users. At the same time, we can also help OEMs to acquire more incremental customers and drive additional sales to helping them to capture greater market shares in an increasingly competitive and more mature market environment. Just now, we announced the Board of Directors authorized a new share repurchase program. And also on the cash dividends, we firmly remain committed to distributing no less than RMB 1.5 billion in total in the cash dividend for the full year. And so we can ensure consistent, reliable cash dividends to our shareholders. So over the long run, we have committed to building a comprehensive shareholder return framework centered on sustained dividend plus share repurchase, striving to deliver predictable and sustainable returns to all our shareholders. So in the future, we will continue to uphold the long-term, stable and proactive shareholder return policy. We sincerely appreciate all our shareholders for their long-term strong and continued support to the company.
Operator: Our next question comes from [indiscernible] from CICC.
Unknown Analyst: [Interpreted] After Haier became the major shareholder, how has the company's business plan been updated? And what's the potential for future collaboration? And my second question is what are the expansion plan for offline stores?
Sterling Song: [Interpreted] After Haier becoming our new controlling shareholder, we don't have material change in our overall strategic direction. First, we are strengthening the development of user first, and we are more focused on the user experience as the top priority. Second, as we just mentioned, we will transform from information platform to a transaction platform. So we set up the Autohome Mall, which was established last year. And third, with the continuous upgrade of AI capabilities, which will bring us more -- help us more in our future operation. So in the long run, our target is to -- we will transform from information platform into a one-stop transaction ecosystem platform. And in terms of synergies with Haier, we will leverage Haier's strength in channels, supply chain management and service networks to further optimize our integrated O2O new retail model. We will explore a low-cost, high efficiency and experience-driven channel sales approach to drive our business upgrade from a transaction matchmaking model to a full chain service model. And ultimately, our goal is to provide more convenient, more transparent and trustworthy car purchasing experience covering the entire [process] from the vehicle searching, selecting to purchasing, using and replacing. For the offline stores, we will continue to expand our primary franchise model. So our focus should be covering more cities from Tier 3 to Tier 5 low-tier cities to help OEMs to strengthen their channel networks and find them -- to try to help them to find more incremental users and addressing the OEMs pain points, for example, insufficient channel coverage in low-tier markets, et cetera.
Operator: Our next question comes from the line of Richie Sun from HSBC.
Ritchie Sun: [Interpreted] Firstly, regarding the NEV business, can you share what will we bring to the partners in 2026? And what are the key indicators we should look for to assess the development progress? Secondly, in terms of the rapid development for AI agents, we are seeing there's some impact to some industry and platforms. So how does management assess the impact of AI agent towards auto verticals? And what would Autohome do to address this risk? And what are the progress made in the AI applications? And finally, in terms of the dealer side, the dealer's related revenue has been falling. So when do management think this decline will actually stop?
Sterling Song: [Interpreted] Thank you for your questions. First, let me answer your question about what value can we -- can our NEV transaction business bring to our partners. As I just mentioned, the transaction business was launched in the second half of last year. And this year, we'll continue to further explore this business model. So for EVs, what we provide is far beyond the advertising and lead generation businesses. So we are now delivering a complete end-to-end solution that covers from car searching to transaction conversion process. So this approach differentiates Autohome from other platforms in the market. In terms of metrics to monitor for this progress is quite simple. First is the number of brands, how many brands want to cooperate with us, want to grow our platform. For offline, the metrics should be focused more on the coverage of the channel works. Besides, in addition, transaction volume is another key metric. We are -- what we are looking now to validate this business model and we target to increase the scale of this model gradually. For the how to assess the AI agents impact on the auto media vertical, first from the interaction model level, AI agents are more and more becoming the new hub connecting users and services with conversational interaction replacing the traditional models. And the second is more from the service side, service level. This is just what we just mentioned, we are transitioning to more transaction model, transaction platform. So for Autohome, our response has 2 points. First is, we try to build an Autohome AI agent for the auto sector, for the auto industry, and we try to enhance the 2C user experience. So what we are doing is we try to enable the agent to deliver a complete one-stop personalized concept style service across the entire auto life cycle. So we are -- what we are doing is we try to make AI a trusted intelligent companion throughout the car purchasing to ownership life cycle. The second point is we try to establish an AI-based intelligent service network, which can connect the automakers, dealers, financial institutions and others, stakeholders, et cetera, so to enable the direct service delivery and collaborate ecosystem value creation, and we try to balance the 2C experience and 2B conversion efficiency. From the very beginning, Autohome focus on the AI, and we have made a lot of progress. For example, we developed a proprietary auto vertical large language model, which is called Cangjie. It ranks first in the auto knowledge evaluation among Chinese large models. And for the C-end users, AI pioneered conversational assistant covering the full life cycle of car searching, selection, purchasing and using so we can achieve industry-leading performance evaluation and significantly enhance the users. And in this way, we can shorten the user decision-making cycles. And for the B-end customers, we also leverage AI to make more new content, provide one-stop AIGC capabilities and intelligent operational services. And we will focus on the dealers' business conditions. Last year, our dealerships suffered severe losses. So their survival conditions worsened. And even we find new vehicle prices fell below the prices for used cars. From our data statistics, it showed over 70% of the dealers nationwide in China were in loss-making. Because of the tough environment, some dealers have exited the dealership network last year, which is the most difficult in the last few years. So based on our own data and statistics, at the end of last year, the total number of dealers declined by approximately 5% year-over-year. So under such environment, the decrease in dealer groups budget was anticipated by us already. So this year, our renewal for our dealership member of product has been completed. So the coverage still remains at a solid level. And this year, next -- for the next step, we will work with our dealer customers together to try to find solutions, and we want to get a win-win situation for both sides. So as we just mentioned, we will work with dealer clients together, for example, work on more digital products, increase their traffic, increase their conversion rate and other auto business as well, try to help them to increase their [indiscernible] to help the dealers' operations, and we try to decrease any negative impact on their operations. The above is my answer to your questions. Thank you.
Operator: There are no further questions at this time. I'll turn the call back over to management for closing remarks.
Sterling Song: [Interpreted] Thank you, everyone. Thank you very much for joining us today. We appreciate your continued support and look forward to updating you on our next quarter's conference call in a few months' time. In the meantime, please feel free to contact us if you have any further questions or comments. Thank you. Goodbye.
Operator: Ladies and gentlemen, that concludes today's conference call. Thank you for your participation. You may now disconnect your lines. [Portions of this transcript that are marked [Interpreted] were spoken by an interpreter present on the live call.]